Espen Nilsen Gjøsund: Welcome To SFL Corporation Ltd.'s fourth 2025 conference call. My name is Espen Nilsen Gjøsund, and I am Vice President of Investor Relations in SFL Corporation Ltd. Our CEO, Ole Bjarte Hjertaker, will start the call with an overview of the fourth quarter highlights. Then our Chief Operating Officer, Trym Otto Sjølie, will comment on performance matters, followed by our CFO, Aksel C. Olesen, who will take us through the financials. The conference call will be concluded by opening up for questions, and I will explain the procedure to do so prior to the Q&A session. Before we begin our presentation, I would like to note that this conference call will contain forward-looking statements within the meaning of The US Private Securities Litigation Reform Act of 1995. Words such as expects, anticipates, intends, estimates, or similar expressions are intended to identify these forward-looking statements. Please note that forward-looking statements are not guarantees of future performance. These statements are based on our current plans and expectations and are inherently subject to risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Important factors that could cause actual resources to differ include, but are not limited to, conditions in the shipping, offshore, and credit markets. You should therefore not place undue reliance on these forward-looking statements. Please refer to our filings with the Securities and Exchange Commission for a more detailed discussion of risks and uncertainties which may have a direct bearing on operating results and our financial condition. Then, I will leave the word over to our CEO, Ole Bjarte Hjertaker, with highlights for the fourth quarter.
Ole Bjarte Hjertaker: Thank you, Espen. We are pleased to announce our 88th consecutive dividend. We continue to build SFL Corporation Ltd. as a maritime infrastructure company with a diversified high-quality fleet. For the fourth quarter, we reported revenues of $176 million and an EBITDA equivalent cash flow of $109 million. Over the past twelve months, EBITDA amounts to $450 million, reflecting the continued strength and stability in our operations. In recent quarters, we have taken decisive steps to strengthen our charter backlog, securing long-term agreements with strong counterparties and deploying high-quality assets. We have made significant investments in efficiency upgrades across the line of the fleet, which has enabled a very strong fleet performance. Chief Operating Officer, Trym Otto Sjølie, will elaborate on this later. In December, we announced two transactions with a charterer of four Suezmax tankers where we agreed to sell a pair of 2015-built Suezmax tankers in the market at a very strong price. The vessels were acquired for $47 million per vessel back in 2022, and we agreed to sell the vessels to a third party for approximately $57 million per vessel with a profit share agreement with the charterer. One vessel was delivered in December, and we recorded a book gain of $11.3 million in the fourth quarter. Net cash effects after repayment of debt and profit shares to the charterer were approximately $26 million. The second vessel was delivered to the buyer earlier this week, and a similar gain will be reported in the first quarter. This transaction has been very profitable for us, with an annualized return on equity above 25%. In parallel, we also agreed to release the charters on two other 2020-built Suezmax tankers against a compensation of $11.5 million per vessel instead of selling the vessels in the market to a third party. Similar to the two other vessels, the return on this investment has been very strong based on prevailing values at the time of the agreement in December. We decided to keep these vessels as they are Korean-built and very fuel-efficient. They are also newly dry-docked and more attractive for new potential long-term charters compared to the two older vessels. Based on US GAAP accounting rules, the full settlement compensation was expensed as a cost in the fourth quarter, which turned a net profit into a net loss for the quarter, despite the very strong return on investment so far. The positive side of this is that we have the vessels on our books at only $55 million, while charter-free values according to ship brokers are currently in excess of $80 million. The vessels are currently traded in the spot market, and the market has strengthened significantly since the deal was agreed upon less than two months ago. Net cash flow contribution is currently higher from these two vessels alone than all four vessels in the original charter agreement. I would note that charter hire from vessels in the spot market is accounted for on a load-to-discharge basis based on US GAAP, so we can expect some volatility in the profit and loss statement from quarter to quarter due to vessel positioning. We will look for new long-term charter opportunities in due course, and market analysts predict a very strong tanker market in the next few quarters. We have seen unprecedented consolidation recently in the supply side for the larger 2 million barrel VLCCs, and very high charter rates in that segment, which is expected to also have a positive spillover effect on the 1 million barrel Suezmax market as these two segments over time have shown a high correlation. Turning to our offshore assets, the harsh environment drilling rig Linus performs very well on the long-term contract with Conoco, while the harsh environment drilling rig Hercules remained warm stacked in Norway pending new employment. The offshore drilling sector is gaining tangible structural support driven by recent strategic industry developments that underscore higher day rates, extended contract duration, and rising demand for premium high-specification rigs. First, the announced all-stock merger between Transocean and Valaris announced earlier this week marks a pivotal consolidation in the space. Secondly, a recent new three-year contract for the Noble Great White drilling rig in Norway, which starts up in 2027, illustrates the strengthening contract fundamentals. With this backdrop, we remain optimistic about securing new employment for Hercules in due course. With the announced 20¢ dividend, SFL Corporation Ltd. has now returned more than $2.9 billion to shareholders over 88 consecutive quarters. This represents a dividend yield of around 9% based on yesterday's share price. Our charter backlog stands at $3.7 billion, with two-thirds contracted to investment-grade counterparties providing strong cash flow visibility. Over time, we have consistently demonstrated our ability to renew and diversify our asset base, supporting a sustainable long-term capacity for shareholder distributions. Our solid liquidity position, including undrawn credit lines and unlevered assets at quarter-end, ensures that we remain well-positioned to continue investing in accretive growth opportunities. With that, I will now hand the call over to our Chief Operating Officer, Trym Otto Sjølie.
Trym Otto Sjølie: Thank you, Ole. We have a diversified fleet of assets chartered out to first-class customers on mostly long-term charters, and the majority of our customer base is large industrial end-users. After the sale of two Suezmaxes in Q4, our current fleet is made up of 57 maritime assets, including vessels, rigs, and contracted newbuildings. Our backlog from owned and managed shipping assets stands at approximately $3.7 billion, and the fleet following Q4 is made up of two dry bulk vessels, 30 container ships, 14 large tankers, two chemical tankers, seven car carriers, and two drilling rigs. Our charter backlog is mainly derived from time charter contracts, and with the exception of four container ships on bareboat leases, the rest are on time charter or in the short-term or spot market. The charter revenue from our fleet was about $176 million, and we had a total of 4,808 operating days in the quarter. Our overall utilization across the shipping fleet in Q4 was about 98.6%. Adjusted for unscheduled technical off-hire only, the utilization of the shipping fleet was about 99.8%. This quarter, we had two vessels in scheduled drydock at a cost of about $4.2 million. Furthermore, we had a chemical tanker in the shipyard to carry out upgrades to the LNG dual-fuel system to better handle gas boil-off. A sister vessel will have the same upgrade done in Q1. This is part of our drive to ensure we can fully utilize our dual-fuel capabilities. All of our six LNG dual-fuel vessels are actually operating on LNG, which aligns with our ambitions to reduce greenhouse gas emissions from our fleet. I will now give the word over to our CFO, Aksel C. Olesen, who will take us through the financial highlights of the quarter.
Aksel C. Olesen: Thank you, Trym. Turning to this slide, we present a pro forma illustration of our cash flow for the quarter. Please note that this is only a guideline to assess the company's underlying performance. It is not prepared in accordance with US GAAP and excludes extraordinary and non-cash items. The company generated approximately $176 million in charter hire during the quarter. Of this, around $81 million came from our container fleet, including profit share related to fuel savings on seven of our large container vessels. The car carrier fleet generated approximately $26 million of charter hire compared to $23 million in the prior quarter, reflecting that all vessels were fully back in service during the period, following a scheduled drydocking last quarter. In tankers, the fleet generated approximately $42 million in charter hire, down from around $44 million in the previous quarter due to a scheduled drydocking. In dry bulk, we have divested the majority of the fleet over recent quarters and now have two Camsimax vessels remaining, while trading in a short-term market. Revenue from these vessels was approximately $2.7 million, or the equivalent of approximately $15,000 per day per vessel. Revenue from our energy assets was approximately $23 million, mainly generated by the Linus, which is in a long-term contract with ConocoPhillips through May 2029. Net operating and G&A expenses for the quarter were approximately $67 million, broadly in line with the previous quarter. Overall, this resulted in an adjusted EBITDA of approximately $109 million, which is in line with the third quarter. Turning now to the profit and loss statement and the US GAAP. For the quarter, we reported total operating revenues of approximately $176 million compared to $178 million in the previous quarter. The net result for the quarter was impacted by several non-recurring and non-cash items, including a gain on the sale of Suezmax tankers of approximately $11.3 million, settlement compensation of $23 million relating to two Suezmax tankers, positive mark-to-market effects from hedging derivatives of $600,000, positive mark-to-market effects from equity investments of $700,000, and an increase in credit loss provisions of $200,000. As a result, under US GAAP, the company reported a net loss of approximately $4.7 million or $0.04 per share. Turning to the balance sheet. As of year-end, cash and cash equivalents totaled approximately $151 million, with an additional $46 million available on the undrawn credit facilities. The facility related to the Hercules rig, which matured at year-end, was repaid using balance sheet cash, leaving the rig debt-free at quarter-end. We have since negotiated a new financing facility, which we expect to execute during the first quarter, subject to customer closing conditions. The remaining capital expenditures for our 5.1 newbuildings of approximately $850 million are expected to be funded through a combination of pre and post-delivery financing. We are experiencing very strong interest from lenders, reflecting a strong financing market for these assets. Finally, based on quarter-end figures, the company's book equity ratio stood at approximately 26%. To conclude, the board has declared the 88th consecutive cash dividend of $0.10 per share, representing a dividend yield of approximately 9%. The charter backlog stands at approximately $3.7 billion, with more than two-thirds linked to customers with investment-grade ratings, providing strong cash flow visibility. We have a solid balance sheet and liquidity position, and we remain well-positioned to act on accretive investment opportunities. With that, I will hand the call back to Espen, who will open the line for questions.
Espen Nilsen Gjøsund: Thank you, Aksel. We will now open it up for a Q&A session. For those of you who are following this presentation through Zoom, please use the raise hand function under reactions in the toolbar to ask a question. If your name is called out, please unmute your speaker to ask your question.
Gregory Robert Lewis: Thank you, and good afternoon, everybody, and thanks for taking my questions. Thanks for highlighting the activity with your Suezmax ships. I guess I would be curious how you are thinking about those vessels. Clearly, the crude tanker spot market seems to be surprising to the upside. Everybody's expectations. Rates are strong. I know that the focus is on putting out long-term charters. We have definitely seen some short, I guess, twelve-month charters for some of the larger vessels, some VLCCs, but I am just curious, given the strength in rates and where we are in the first part of 2026, are we starting to see signs or interest from customers or charters around multi-year contracts, or should we just be thinking more, hey, the spot market is good, the outlook is good for the next couple of years, and we are just going to use this kind of as a trade?
Ole Bjarte Hjertaker: Hi, Greg, and thanks. Yes, we find that market segment quite interesting right now for a couple of reasons. Just to also be clear about that, when this transaction opportunity came about, this was really backed by the agreement we had with this customer where we, after a certain period of time, gave them the opportunity to effectively trigger a sale with a profit share as long as we were over a level that gave us a very good return in the first place. The market had been moving up, and they were interested in doing that. So we sold two older, Chinese-built vessels, and if you look at the equity returns we generated on those with the implied profit split that we got out of it too, we are talking sort of high twenties in return on equity on those deals. So you could say it was a really strong deal and much better than we anticipated when we did that deal back in the day. They also wanted to do the same with the other two, but the other two, the Korean-built vessels, are more attractive for long-term charters. They are Korean-built, they are sort of eco design, they have scrubbers, we just had them through a dry dock, and we believe they are more attractive also for longer-term charter opportunities. What we did not anticipate back in December was the way the market moved upward sharply. Over this two-month period, both one-year charters indicated by brokers and also the index, the TD20 index that is used for hedging this market, is up 20% in that short period of time. A couple of reasons for that, you have some trading pattern issues, but I think one very important underlying factor here on the tanker side, which I would call almost unprecedented in the market, at least in the history I have seen, is that you have one party or group of people who are working together who effectively control around a third of the available or traded tanker VLCC fleet out there. We believe they are willing to hold back ships if they do not get the charter rate where they want it to be, which implicitly would give also the other owners out there confidence to hold back and not just drop their, drop their pants, so to speak, and fix at lower levels. I think that is a very fundamental shift in the market. Then we have to look at the correlation between the VLCC market and the Suezmax market where over the last twenty-five years, the Suezmaxes have earned around 85% of the VLCC charter rate. We believe that with the dynamics on the VLCC market and also trading patterns, which is quite interesting for the Suezmax size, we think the market could remain firm for some time. Our ultimate objective here is to find new longer-term charters for these vessels, but in the meantime, we enjoy the spot market. Just to be clear, we used to have four vessels. The two vessels that are remaining are generating more net cash flow than all four did in the previous chartering arrangement. So far, we are generating more cash out of two vessels compared to four vessels in the past.
Gregory Robert Lewis: It is definitely good to be a tanker owner at the moment. I was hoping, I realize that it is always the board's decision, there are lots of variables that go into how the company thinks about dividends. As we think about the dividend over the next twelve months, how are we thinking about it? Is one of the factors the market looking for in the secondhand market, i.e., opportunities clearly in tankers, prices are high, charter rates are catching up? How is the opportunity for growth looking in the containership market, which seems to be maybe where numbers, the economics might look a little better in doing a purchase and charter out?
Ole Bjarte Hjertaker: Thanks. To start with the dividend question, the board never guides on dividends going forward, but the underlying structure or what goes into that evaluation is long-term sustainable cash flows. If you look at the last year, we did sell a number of vessels, some that were coming to the end of the charter period. We sold some older feeder container ships, etc. which freed up quite a bit of capital. To have a sustainable distribution, you have to have producing assets generating those returns. That is one thing. Also, I would say last year, for geopolitical reasons, with that sort of trade war or at least trade friction mounting, we sensed that many of the players out there were stepping a little bit back. They were very uncertain about how this all would evolve. It is difficult to get counterparties to commit long-term. We sense now that the dynamics are better. We see more engaging for new business, but we cannot really comment on anything before we potentially do it. From a board perspective, it is very disciplined. We try not to run out and just spend the money we have capital available. It is all about trying to do the right deals, long-term deals. From time to time, you may get lucky like we did on the Suezmax tankers with a much stronger return than we expected. That is what you should expect from us. We should try to deploy the capital in a balanced way, build the distributable cash flow. We still have the drilling rig Hercules idle that used to produce a lot of cash flow for us in 2024. There are a few factors here going into that. Still, we are looking at north of $100 million in dividends per year even at this level. We are paying a lot of cash flow out to shareholders. It is more than $2.9 billion over the 88 quarters. We have shown a disciplined approach to it that we have been standing firm through pretty rough cycles, and hopefully, we will have a good capacity also going forward.
Gregory Robert Lewis: Super helpful. Thank you for taking my questions.
Espen Nilsen Gjøsund: Thank you. Then we will also have a question from Mr. Climent Molins. Kindly unmute your speaker to ask your question.
Climent Molins: Hi, Ole and team. Thank you for taking my questions. I joined a few minutes late, so you may have touched upon this, but I wanted to follow up on Greg's question on the charters you terminated. Could you remind us what was the rate on the previous contract? Secondly, could you talk a bit about the fixtures you have secured to date in the spot market?
Ole Bjarte Hjertaker: Yes. This was a deal that was done back in 2022. The two Chinese-built vessels were acquired for, at that time, around $47 million, if I am not mistaken. We had them on charter rates of around $27,000 per day for that period, and then we sold them now for $57 million net. We have enjoyed strong cash flows, depreciated the assets, and then sold them for 20% more gross than we bought them for three years earlier, hence the very strong returns on that deal. Similar dynamics on the newer vessels. They were more expensive, so we bought them for around $64 million, if I am not mistaken. If you look at the broker reports now, and you have, for instance, the broker firm Fearnleys, they just increased their valuation on tanker assets, and they now guide five-year-old Suezmax tankers at $85 million. It is a significant uplift also for these assets. If you look at the spot market, we typically will not guide on spot market there and then. You can look up to the brokers. They will typically guide you on what the charter rates are. Just to give you a guiding, right now, and this is just from our broker report, they guide a one-year TC for a modern Suezmax tanker would be in the high forties. They guide $47,500. While if you use the Suezmax TD20 index, you could do twelve months now in excess of $60,000 per day based on the index alone. The market is quite strong as a guide. As I mentioned, we were below $30,000 in the old structure. Remember also on those vessels, you have to subtract operating expenses, interest, and amortization on the loans. We are now in this market generating more than we did from the two vessels than we did from all four vessels combined on a net basis. I would mention, though, that based on US GAAP, first of all, we had to expense the termination fee on the two modern vessels despite having a very low book value level on those vessels. Because we own them already, it had to be taken straight through P&L in the fourth quarter. That had that effect. Also, when you trade in the spot market, being tankers or bulkers, based on US GAAP, you have to account for the revenues on a load-to-discharge basis. Typically, these assets go empty and ballast, as we call it, one way, and you load it, and then you go loaded the other way. You will see some volatility in the P&L effect for these assets, all depending on the position they are in, whether they, through the specific quarter, were more loaded than empty in that rotation. When we got them back off the charter, and this is, again, a coincidence, but both vessels were just coming off a loaded journey, and therefore started with some ballast days. This is something that will balance and equal out over the year. From quarter to quarter, there may be some earnings volatility due to US GAAP.
Climent Molins: Makes sense. Thank you. After recent sales on the dry bulk side, you only have two remaining Panamaxes. Those seem clearly non-core. Is that a fair assessment? Secondly, there has seemingly been some interest from potential charterers on long-term contracts on Newcastlemax new builds. What are your thoughts on potentially reallocating some capital towards dry bulk?
Ole Bjarte Hjertaker: Thanks. We have always been invested in the dry sector. You could say it is more of a coincidence now that we are down to two vessels. We are segment diagnostics, so we would look at deals in all the segments, including the dry bulk segment, and have a look at multiple transactions. To get to a deal, it has to make sense for us from a purchase price, charter rate, counterparty, financing structure we can build around it, and, of course, our charterer would want to pay the charter rate we need to have to make that work for us. This is a balance, and you are correct. We have only two vessels left now. I would not say they are non-core. Those vessels were on ten-year time charters and have been over time quite profitable for us, but we are traded more in the short-term market currently. We look at opportunities on the dry side, as we do in other sectors, and as I said, the diagnostics, it is all about getting a good risk-adjusted return.
Climent Molins: Thanks for the color. I will turn it over. Thank you for taking my questions.
Espen Nilsen Gjøsund: Alright. Then we have some written questions. Could you please share any updates on the Hercules?
Ole Bjarte Hjertaker: Yes. The Hercules has remained idle since November 2024, so it was idle through 2025, generating very strong cash flows when it was working. Now it has remained idle. We have been looking for employment. That market has been a little slow, it is fair to say, but we now see signs both from a consolidation perspective where we had the big merger announced earlier this week, Transocean and Valaris. We also saw a drilling rig with, I would call it, similar harsh environment, ultra-deepwater features. That was recently fixed on a three-year charter with startup in 2027. Based on what we see from brokers, it looks like there are more market dynamics and more employment opportunities there going forward. We cannot comment specifically on the rig or the discussions we may have on this rig specifically. We will announce contracts if and when they materialize.
Espen Nilsen Gjøsund: Thank you. Also have another one here. How do you see the long-term evolution of the contract revenue mix across the different shipping segments? Do the container new build orders signal the strategic direction the company intends to pursue?
Ole Bjarte Hjertaker: The new build container ships were ordered in 2024. It is typically what we like to do, long-term time charters to investment-grade counterparties. Modern technology enables us, and through the long-term charter, we are able to pay that investment down significantly. We are not specifically focused on one single segment. We try to position ourselves as logistics partners for strong, industrial-focused partners. The containership market has been an interesting market for us, but we would be happy also to look at other segments.
Espen Nilsen Gjøsund: And related to different segments, what segment are you currently most optimistic about in relation to potential future growth? In what niche do you see the best economics?
Ole Bjarte Hjertaker: It is almost an impossible question. As we look across the board between the segments, we do not have any favorite. What we have seen over time is that there have been more longer-term charters in typically liner-type assets, container ships, car carriers. We also see that from time to time on tankers where you see longer-term charters and also on dry bulk. We also have some chemical carriers in our portfolio where we also have good interaction with logistics players. We look across the board, and hopefully, we will build the portfolio in more than one segment.
Espen Nilsen Gjøsund: Thank you. We also have a question. What is the status of SFL Composer?
Trym Otto Sjølie: Right. I think I will interpret that question as after the collision that we had in Q3. The vessel was going into dry dock when she was hit by another container vessel or by a container vessel. We were going into dry dock anyway at that time, and we had a slot available, so we did not really lose any time. All of the damage repairs were covered by insurance, including also the off-hire related to the incident. For SFL Corporation Ltd., we did not lose out on this at all. The vessel is now back in service with Volkswagen and operating in the Atlantic as normal.
Espen Nilsen Gjøsund: Thank you, Trym. And last question here. Can you say something about the size of the new rig financing facility?
Aksel C. Olesen: Sure. You are relating to the new Hercules facility that we are being kind of regurgitated and prepared, and that is in the amount of $100 million.
Espen Nilsen Gjøsund: Thank you, Aksel. As there are no further questions from the audience, I would like to thank everyone for participating in this conference call. If you have any follow-up questions for the management, there are contact details in the press release. Or you can get in touch with us through the contact pages on our web page, www.sflcorp.com. Thank you all.